Operator: Hello and welcome to the Erie Indemnity Company's fourth quarter 2007 earnings conference. At the request of Erie Indemnity, this conference is being recorded for instant replay purposes. At this time, all participants are in a listen-only mode. Following prepared remarks from management, we'll open the call for questions and answers. Now, I'd like to introduce your host for today's conference call, Karen Kraus Phillips, Vice President and Manager of Corporate Communications and Investor Relations.
Karen Kraus Phillips - Vice President and Manager of Corporate Communications and Investor Relations: Thank you Antony and good morning. Joining me for today's call are John Brinling, President and CEO, Executive Vice President and Chief Financial Officer, Phil Garcia, and Jim Tanous, Executive Vice President, Secretary and General Counsel. Today's prepared remarks will be approximately 30 minutes. Following those remarks, we'll open the call for questions. We issued our earnings release and additional supplements yesterday afternoon. If you need a copy of the press release or any of the exhibits, you can find these in the Investor Relations section of our website at erieinsurance.com. We also filed a Form 10-K with the SEC. On today's call, the management of Erie Indemnity Company will share important information about current and future initiatives being undertaken at the company. As a result, certain forward-looking statements may be incorporated into their comments. These forward-looking statements reflect the company's current views about future events and are based on assumptions subject to known and unknown risks and uncertainties. These risks and uncertainties may cause results to differ materially from those anticipated as described in those statements. Many of the factors that will determine future events or achievements are beyond our ability to control or predict. For information on important factors that may cause such differences, please see the Safe Harbor statements in the latest 10-K filing with the SEC dated February 27, 2008 and in a related press release and 8-K. In this call, we will discuss some non-GAAP measures. You can find a reconciliation of those measures to GAAP measures in the press release and in the supplement posted on our investment website at erieinsurance.com. This call is being recorded and the recording is the property of Erie Indemnity Company. It is not intended for reproduction or rebroadcast by any other party without the prior consent of Erie Indemnity Company. A replay will be available on our website this afternoon at 12.30 Eastern Time. Your participation on this call will constitute consent to the recording, publication, webcast broadcast, and use of use of your names, voice and comments by Erie Indemnity. if you do not agree with these terms, please disconnect at this time. And now, I will turn the call over to Erie's President and CEO, John Brinling. John?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Thank you Kraus. Good morning everyone. Today, Phil and I will cover the fourth quarter and full-year 2007 results. We will touch on the management changes we announced yesterday and where we see the business headed in 2008. We'll also give you an update on the CEO search. So, let's get started. Erie Indemnity turned in solid results in the fourth quarter, capping off the year with net operating income of $40.9 [ph] million or $0.69 per share. Our net income result was negatively affected by impairments of our securities, which Phil will discuss later in the call. Our revenue from management operations increased by more than 10% and our underwriting operations produced a nearly $5 million underwriting profit. A significant improvement over fourth quarter 2006 result. The fourth quarter 2007 GAAP combined ratio for Indemnity's Property and Casualty subsidiaries was 90.5%, down nearly 10 points from the 2006 fourth quarter, as a result of lower catastrophe losses and better loss development in the fourth quarter of 2007. Net investment income for the quarter was down considerably due in part to our share repurchase activity, which has decreased the funds available for investing. The performance of our limited partnership portfolio turned in a comparable result to the same quarter last year, which was quite strong. As I said, we had $16.8 million of investment impairments during the quarter, which contributed to $12.7 million realized loss for the quarter. Phil will give you more detail on these and other factors affecting our investment results. We ended the year with net operating income of $216 [ph] million. Net operating income per share was up $3.48, up 11.9% form 2006. The primary drivers of this result were strong underwriting and investment operations performance. A higher management fee rate in 2007, 25% compared to 24.75% in 2006 also contributed to the results in our management operations. During the fourth quarter 2007, our Board of Directors set the management fee at 25% for 2008. Our capital management strategy is designed to increase total shareholder return. In 2007, we repurchased 4.5 million shares of our Class A non-voting common stock totaling $236.7 million. In September 2007, the Board approved a continuation of our stock repurchase program. At the end of 2007, we had approximately $92 million of outstanding repurchase authority remaining under the program that runs through December 31, 2008. At the December meeting, the Board increased the quarterly dividend to $0.44 from $0.40 for Class A shares and $66 from $60 for Class B shares, marking the 74th consecutive year we pay dividends to our shareholders. We anticipate the soft market currently affecting insurance prices will continue into 2008. However, we're already seeing some evidence that some companies have recognized that underwriting profitability is deteriorating and rate increases may be warranted. During 2007, insurers have shown real discipline in their pricing strategies and did not opt for significant rate cuts. In fact, several large multi-line companies have increased rates in personal lines largely in many markets. We maintained our underwriting discipline and we've taken, what we believe, are disciplined rate reductions. We’ll continue this approach in 2008. But we’ll also raise rates in some lines of the market when additional rate need is indicated. In 2007, we grew policies by 2.4% on a year-over-year basis, ending the year with nearly 3.9 million policies in force. New written premium expanded by 9% to $401 million. In addition to our improved competitive position, we attribute this growth in part to our new agency appointments, particularly those appointments made into 2005 and 2006. We expect this effect to continue in 2008 as our new agents become more provisioned [ph] and we begin to see the results from those appointed in 2007. The private passenger auto incentive we put in place in July 2006 has also added to this increase in new policy growth. By the end of 2007, we appointed 214 new agencies. Of those, 70% were start-up agencies. [inaudible] start-ups allow us to build agencies’ loyalty as the onset and ensure the agency understands and commits the Eerie service philosophy. Our plan calls for appointing another 140 agencies in 2008. We're also preparing to recruit agencies in our 12th state Minnesota. Recruitment will begin there in 2009 and we expect writing business will be… we’ll begin writing business by the fourth quarter of that year. Of course, we are also seeing positive production from some of our long-term agents who are capitalizing on our competitive rates and our mutual commitment to superior service to win new business and retain current policyholders. In addition to agent appointments, we also launched an all-lines agent incentive contest in October 2007 that will run through September 2008. We ended the year with a retention ratio of 90.2% up from 89.5% at year-end 2006. This marks the best retention ratio for Eerie in more than five years, since the third quarter 2003. Premium growth during the soft market cycle has been a challenge for most insurers. An equally significant challenge for us during the fourth quarter and coming into 2008 is our life company's transition to business process outsourcing. As you know, Erie Indemnity owns 21.6% of Erie Family Life and the exchange owns 78.4%. The challenges have been most evidenced to our agents who work hard to minimize any negative impact to our life policyholders, many of whom are Property and Casualty policyholders as well. The primary pain point [ph] is the level of service provided to our agents from our outsourcing partners’ call center who are just not meeting service expectations. Working together we have attempted to correct the problems, but systemic issues of their operation have limited our effectiveness. Therefore, we decided to re-establish the live call center at our home office in Erie to ensure our superior service reputation. Bringing the call center back in-house will have no material impact on Erie Indemnity Company’s results in 2008 or beyond. As I said at the onset, I would like to take a few minutes to review some management changes at the company. Tom Morgan, Executive Vice President of Insurance Operations has resigned his position with the company to pursue other opportunities. Tom has been with Erie as an employee and an independent agent for a total of 24 years. I appreciate his dedicated service and wish him much luck in the future. With Tom's departure, we decided to restructure Insurance Operations, which makes out nearly 75% of Erie's total operations. We are dividing the area under the leadership of two long time Erie family members, Mike Zavasky, currently Senior Vice President of our Strategy Management Office and George Lucore, who rejoined the company after a brief hiatus. George retired after 34 years with Erie in the spring of 2006 from his position as Senior Vice President of the Agency Division. Both men have long tenure and broad experience with the company's Property and Casualty Insurance operations. I'm very pleased to welcome them to our executive management team. We also announced in yesterday’s earning release that two incumbent directors, Kaj Ahlmann and John Baily, had advised us that they do not intend to stay in for re-election to the Board at our annual shareholders' meeting on April 22. They will finish out their current term continuing their respective roles. Kaj serves as Strategy Committee chair and John as Audit Committee chair. Kaj and John have served the company well in their years on the Board. It has been a pleasure working with them and I know they will continue to be strong advocates for Erie. It’s the Board’s intention to announce 2008 slate of directors for election on or about Monday, March 10, 2008. I also want to give us a brief update on our search for a new CEO. The Board’s search committee is actively interviewing candidates to narrow the field and make a final selection. While no specific timeframe as been established, given the progress, I’d expect a new CEO to be on board around mid-year. Now, I will turn the call over to Phil to provide details for our financial results and then we will open the call for your questions. Phil?
Philip A. Garcia - Executive Vice President and Chief Financial Officer: Thanks John and thanks to all of you for joining us on today's call. First, I will provide you with some highlights of the fourth quarter and talk in detail about certain aspects of our investment portfolios and those of the Erie Insurance Exchange, and then I will briefly discuss our full-year results. As we highlighted in our earnings release, our net income in the fourth quarter of '07 was affected by net realized losses on investments, which included $16.8 million of impairments of securities, as well as some tax adjustments that resulted in a higher effective tax rate. As a result, net income was $32.6 million for the fourth quarter of '07, down from $45.5 million for the same period in '06. Our net income per share diluted decreased to $0.55 per share compared to $0.71 per share last year. However, we matched the strong fourth quarter 2006 net operating income per share of $0.69 per share. I will take a few moments to explain more of the details behind our fourth quarter results, starting with the management operations segment. Our management fee revenue increased 1.1% in the fourth quarter of 2007, primarily because our management fee rate was set at 25% in 2007, compared to 24.75% in 2006. Our management fee revenue, as you know, is based on our direct return premium, which decreased 0.5% in the fourth quarter of '07 compared to the fourth quarter of '06. The decrease was largely a result of premium rate decreases that are designed to enhance our competitive position. The total cost of management operations decreased 0.6% to $189.2 million in the fourth quarter of '07 from $190.3 million in the fourth quarter of '06. Our commission costs increased 1.7% to $132.8 million from $130.6 million in the fourth quarter of '06. The fourth quarter cost of management operations, excluding our commission cost, decreased 5.6% to $56.4 million in 2007 from $59.8 million in '06. The decrease was due to an adjustment of $4 million to inter-company expenses allocated to affiliates, which reduced the cost of management operations. Somewhat offsetting this reduction was $2.7 million of additional professional fees and software related expenses in the fourth quarter of '07. Moving on to our underwriting performance. Our GAAP combined ratio was 90.5% in the fourth quarter of '07 compared to 100% in the same period in '06. The insurance underwriting operations generated gains of $4.9 million in the fourth quarter of '07 compared to an underwriting breakeven in the fourth quarter of '06. Our Property and Casualty Group’s adjusted statutory combined ratio was 89.9% in the fourth quarter of '07, compared to 99.8% in the fourth quarter of '06. We experienced relatively low catastrophe levels of $0.5 million or 0.9 points in the fourth quarter of 2007, compared to $2.6 million or 4.9 points in the fourth quarter of 2006. The fourth quarter of 2007 also included some reserve strengthening to the pre-1986 catastrophe injury liability reserve as a result of changes we made to our mortality assumptions for these claimants. Finally, some highlights of our fourth quarter investment operations. Our net revenue from investment operations decreased to $12.4 million in the fourth quarter of '07 compared to $30.7 million in the same period of '06. Our net investment income decreased 11.5% to $12.5 million in the fourth quarter of '07, which was influenced by our share repurchase activity during the year. Equity and earnings of limited partnerships totaled $12.8 million in the fourth quarter of ‘07 compared to $12.7 million in the fourth quarter of '06, as our partners continued to deliver strong returns from these investments. Included in our net realized losses on investments are impairment charges of $16.8 million and $1.4 million in the fourth quarters of '07 and '06 respectively. Common stock impairments made up $7 million of this charge, while preferred stock impairments totaled $6.3 million and fixed maturity impairments totaled $3.5 million for the quarter. Beginning in 2008, we have adopted net accounting change that will affect how account for certain assets in our investment portfolio. As you can see from our 10-K, we adopted the fair value option for our common stock portfolio under FAS-159 effective of January 1, 2008. This portfolio was currently accounted for as an available for sale portfolio where changes in fair value are reflected in shareholders’ equity. After January 1, 2008, changes in the fair value of the common stock portfolio will be reflected in the consolidated statements of operations as realized gains and losses. The unrealized gains of our common stock at January 1, 2008 will be included as a cumulative effect adjustment. As a result, retained earnings will increase by $11.2 million at January 1, 2008, with a corresponding decrease in accumulated other comprehensive income. As we noted in our press release, our fourth quarter 2007 provision for income taxes was increased by $1.3 million for adjustments made to the tax basis and the sale of certain limited partnership investments, which increased our deferred taxes. I would now like to spend a few moments discussing our investment portfolio and the portfolio of the Erie Insurance Exchange. We refer you to our disclosures in our 10-K on page 46 and our investor supplement where we provide details of portions of the exchange's portfolio. So, you can follow along on the supplemental disclosures we provided for your use. With the ongoing turmoil in the credit markets, I wanted to provide some perspective and more specifics regarding our structured depth and our municipal bond portfolios and those portfolios at the exchange. The company has just over $35 million or about 5% of its fixed income portfolio invested in structured asset-backed products that carry an average rating of A+. The company believes that none of these securities have direct exposure to the subprime residential mortgage market. The market value of the portfolio is about 93% of amortized cost and the company impaired $1.8 million related to four of its structured product holdings during 2009. The exchange has structured debt portfolio of $431 million, recorded on a statutory accounting basis, represents less than 10% of the total bond portfolio. Market value of the portfolio is about 95% of amortized cost at December 31, 2007. The exchange has impaired for securities in this portfolio in the third and fourth quarters of 2007 that had exposure to subprime collateral for a total impairment charge of $16.9 million. We value these securities using pricing services from independent third-party services and brokers, and we’ve obtained additional third-party views of our market values. In addition, we are monitoring our municipal bond portfolio in light of the current difficulties being encountered by the bond insurers. It's important to comment that our investment philosophy with respect to munibonds is to focus primarily on the quality of the underlying security and to not rely on the bond insurance. The company's municipal bond portfolio accounts for $249.4 million or 35.5% of the total fixed maturity portfolio of the company. Of the total municipal bond portfolio, $199.1 million or 79.8% are insured. The company's municipal bond portfolio is highly rated and includes all investment grade holdings. The overall credit quality of the municipal bond portfolio is rated AAA, while the overall credit quality of the municipal bond portfolio giving no affect to insurance is rated A+. The market value of the portfolio, which is important to note, is 101% of the amortized cost and the company has not impaired any of these investments. The exchanges in municipal bond portfolio accounts for $1.2 billion on a statutory accounting basis or 28% of its total bond portfolio. When measured on a fair value basis, $781 million or 62% of the municipal bond portfolio are insured. The overall credit quality of this muni bond portfolio is rated AA+, while the overall credit quality of the muni bond portfolio giving no effect to insurance is rated AA-. The market value of the portfolio is 102% of amortized cost and the exchange has not impaired any of these investments. During the fourth quarter of 2007, the exchange recorded $93.1 million in impairment charges related to its bonds and common and preferred stock. And finally, during the fourth quarter, as part of our share repurchase program, the company repurchased about 321,000 shares of our Class A common stock at a cost of $16.9 million. Now, I would like to take a few moments to briefly provide some detail on our full-year results. Our net income was, as John said, $212.9 million for the full year ended December 31, '07, 4.4% increase from the $204 million in '06. Our net income per share diluted increased to $3.43 per share from $3.13 per share in 2006. Our net operating income per share increased 11.9% to $3.48 in 2007 compared to $3.12 in '06. Our management fee revenue increased 0.4% as our direct written premiums of the Property and Casualty Group decreased 0.5% in 2007. Our direct written premiums were down slightly as a result of rate reductions implemented to be more price competitive for potential new policyholders and to improve our retention of existing policyholders. The effect of these rate actions resulted in a net decrease in our direct written premiums of $85.9 million in 2007. Our cost of management operations increased 1.8%, almost $800 million at December 31, 2007 from $785.7 million for the year 2006. Our commission cost increased 0.6% to $557.4 million in 2007, due to largely to agent incentives as our scheduled commissions remained flat for the year. The $50 private passenger auto bonus resulted in commission increase of about $3.1 million in 2007. Our non-commission costs increased 4.6% to $242.2 million in 2007, driven by personnel and other operating costs. Obviously, keeping our cost low helps us keep our products competitive. Our operating expense ratio keeps us competitive with all personal lines’ writers, including companies that right direct. Our combined property and casualty operating expense for the Property and Casualty Group was 31.8 for 2007, that compares very favorably to the estimated industry operating expense ratio of 39.1. Our insurance underwriting operations generated about $25 million in gains for the year ended December 31, '07 compared to $13.4 million in '06. The Property and Casualty Group’s adjusted statutory combined ratio improved to 83.8 in '07 from 89.4 in '06. Our catastrophe losses for '07 were $3.6 million compared to $8.5 million in '06. Our GAAP combined ratio improved to 88.1 from 93.7 in 2006 due to severity trend improvements resulting in reserve redundancies. The company’s 5.5% share of the Property and Casualty Group’ positive favorable development of prior accident year losses after removing the effects of salvage and subjugation recoveries was $11 million in '07 and $4 million in '06. Finally, our investment operations, we reported net realized losses on investments of $5.2 million in '07, primarily due to impairment charges of $22.5 million offset somewhat by gains on the sales of our common stocks of $14.3 million. Our equity and earnings of limited partnerships increased 42.9% in '07 as a result of market value appreciation from our private equity partnerships and market value appreciation and earnings from our real estate limited partnerships. Finally, in 2007, we had a record year for share repurchase activity. We repurchased almost 4.5 million shares for over $236.6 million in '07. Now, I'll open the line for questions. Question and Answer
Operator: Ladies and gentlemen, the question-and-answer session will be conducted electronically. [Operator Instructions]. We'll take our first question from Michael Phillips with Stifel Nicolaus.
Michael Phillips - Stifel Nicolaus: Good morning, everybody.
Karen Kraus Phillips - Vice President and Manager of Corporate Communications and Investor Relations: Hi, Michael.
Michael Phillips - Stifel Nicolaus: Good morning. A couple of questions. First one, is kind of just a high-level strategy question and then a couple of numbers of questions after that. First question, if you would think about your growth strategy, how do you prioritize the two prongs of this of one… putting new agents versus kind of going after the current agency base and helping them grow? You thinking about those two things, does one standout more than the other in your strategy or are they even? What are your thoughts there?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Mike, this is John Brinling. I would say that… divide would be about 50-50 because we are focusing on appointing new agents as you saw the… we anticipate putting 214 this year. But, certainly, with a large base of existing agents and insurance in force, we want to get more business from those existing agents and we're focusing on them as well. So, it’s a two-pronged approach.
Michael Phillips - Stifel Nicolaus: Okay. That's understandable, thanks. The more detailed questions. I think last quarter, you said overall plans for '08 in terms of rate action, you thought it would be about neutral on a consolidated basis, I guess, because updates on that? And if we can get details on a specific lines, that will be helpful.
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Michael, in the third quarter we reported about $4 million increase, which is really flat for the year from rate actions. If you read the disclosure in the K now, we're down to a minus 9, so that's about a $14 million… $13 million swing, but still flat for the year, for 2008, and pretty much… 2008, our rate filings have pretty much been made for 2008 and so there is no other… no other action so we are going to taking rate wise, they are really going to have a big influence on that 2008 numbers.
Michael Phillips - Stifel Nicolaus: If I look at some of your disclosures in the K, comp looks like it’s still kind of coming down, but I couldn't tell what your thoughts were there on say auto and home?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Basically, they're all flat, rate wise across every line of business, comp is flat, auto is flat, home is flat. So, for 2008, we are not going to great any rate. Now that's better than 2007, where the number, as we disclosed, was a minus 85. So, relative to '07, '08 is a good rate year. We are going to get $80 million more in premium.
Michael Phillips - Stifel Nicolaus: Okay, thanks. The accelerated bonuses that you paid to the newly recruited agents, can you describe what is that for? You're paying a bonus for them to sign up with you? Since they are new, the is no experience – is that what that is?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Mike, we're one of the few independent agency companies that will help an agent start from scratch. And to do that until they get a book of business established they have got to eat. So, our bonus structure is essentially to subsidize them to get up and running until they have a book of business and renewals that can support them. So, it really is to get them up and running and we found that to be a very effective approach. The agents that we've brought up that way have been very loyal over the years, have stuck with us. So, we think it's a good investment.
Michael Phillips - Stifel Nicolaus: Okay. And then finally, any guidance on the tax rate going forward and the growth in non-commission expenses for '08?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Our tax rate, we have some adjustments during the quarter. So, we want to use a tax rate of about 32.7%, 32.8% for our effective tax rate going forward. Expenses, last year, we gave you guidance on expenses, at the end of the first quarter, we plan to do that again. You saw there are non-commission operating expenses for the year grew about five. I was going to use that number. You want to use the number north of that until we give you more specific guidance at the first quarter.
Michael Phillips - Stifel Nicolaus: I'm sorry, north of the four.
John J. Brinling, Jr. - Interim President and Chief Executive Officer: North of the five. Yes, I think it was 4.6, right?
Michael Phillips - Stifel Nicolaus: 4.6 right.
John J. Brinling, Jr. - Interim President and Chief Executive Officer: For the year. That's pretty low.
Michael Phillips - Stifel Nicolaus: Okay.
John J. Brinling, Jr. - Interim President and Chief Executive Officer: If I were to give you a number today, which I am not going to, I would give you a little guidance to say you should be north of 4.6 in your forecast.
Michael Phillips - Stifel Nicolaus: Okay. That's helpful. Thanks everybody. I appreciate it.
Operator: [Operator Instructions]. [inaudible] has our next question.
Unidentified Analyst: I was hoping you could give a little bit more background on the average development. It sounds like it's coming from really old claims and I'm just curious. How many claims are we talking about and what's driving the change there on such old claims?
James J. Tanous - Executive Vice President, Secretary and General Counsel: Yes, they are really old claims. Dan, this is Jim Tanous, you haven't been on too many of our calls, but this is something we have disclosed frequently the last year or two. So, we have about 100 claims. They are mostly auto claims. There are some workers’ comp claims that relate to pre-law in Pennsylvania prior to 1986. Basically, we have unlimited liability on these claims. It's about 100 claims. Last year, we took a hard look at the healthcare cost inflation assumption we were using to reserve these claims and we adjusted it upward. So, in the fourth quarter you see that we had some high adverse development on those. We took a hard look at this year-end at the mortality assumption we're using. Again, these are severely impaired people, mostly paraplegics or quadriplegics, the life expectancy of people that have those sorts of injuries are subject to some variation. So, we took a hard look at the mortality assumption that we were assuming for the 100 claimants and we adjusted that upwards. So, what that means is, we adjusted their expected life expectancy upward. The effects of that are washing through our financial statements for the fourth quarter.
Unidentified Analyst: Thanks. Great. Thank you. Did you disclose or can you tell us what the adverse or favorable development during the quarter was excluding that specific piece?
James J. Tanous - Executive Vice President, Secretary and General Counsel: That was almost all of it.
Unidentified Analyst: Okay. So, essentially flat, excluding that?
James J. Tanous - Executive Vice President, Secretary and General Counsel: Yes.
Unidentified Analyst: Okay. Secondly, the retention ratio, the increase in the retention ratio just curious if you can maybe expand on that a little bit. Have you historically seen a pattern to that retention ratio as part of the pricing cycle or do you attribute it to something specifically… or I guess what is your view on what's driving the 89.5 up to 90.2 from '06 to '07, obviously somewhat forward looking, do you have a view?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Well, we think that it's reflective of two things. Obviously, one is the reflection of our competitiveness, our improved position with respect to other competitors. So, price has a piece of it. In terms of a pattern, it's been steadily improving since about the middle of '06, it goes back to '05. The numbers I am looking at right now in terms of private passenger have improved steadily over the quarters. So, that's part of it. The second part is, we're getting very high marks, for example, at J.D. Power in terms of our service. So, it's not just price, it’s people having experience with our company and enjoying the way their claim was handled and staying with us. So, we target retention and improvement in retention. We recognize that every policy we don't lose, is one less we have to replace.
Unidentified Analyst: Great. Thank you.
Operator: We will now go to Mr. Michael Phillips with Stifel Nicolaus with our next question.
Michael Phillips - Stifel Nicolaus: Hey, I'm back sorry. I have two more for you. I'll left this out earlier. What can you share with what you are with seeing competitor rate changes in some of your larger markets?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: As I mentioned in my remarks, Mike, for the most part, they are flat. There have been some indications from some of the larger, particularly direct writers that they intend to start taking some rate to avoid underwriting losses, but we haven't yet seen anything dramatic yet. We've seen some indication that they are starting to go up. They certainly have reduced the rate of decline and in most cases flat or going up.
Michael Phillips - Stifel Nicolaus: Okay, that’s helpful. Any details you can share on a what you're seeing in loss trends in homeowner [ph] specifically?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: I don't have that information with me right now.
Michael Phillips - Stifel Nicolaus: Can I call you back?
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Yes.
Karen Kraus Phillips - Vice President and Manager of Corporate Communications and Investor Relations: Absolutely, Michael, we will get that for you.
Michael Phillips - Stifel Nicolaus: Okay, thanks. That's all I have.
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Okay.
Operator: And it does appear we have no further questions at this time. I would now like to turn the conference back over to you for any additional or closing remarks.
John J. Brinling, Jr. - Interim President and Chief Executive Officer: Before we end the call today, I would like to take a moment to acknowledge Bill Hirt, our former Chairman of the Board, who passed away in July. Bill was a truly great man and leader. He dedicated much of his life to ensure Erie’s success. Bill exemplified our founding value, the golden rule, treating everyone with kindness, respect, and dignity. His perspectives and excellent business sense helped build Erie the company it is today. We truly miss him and are forever grateful to him. Thanks again for joining us on today's call. We look forward to seeing many of you in our annual shareholders’ meeting on April 22.
Karen Kraus Phillips - Vice President and Manager of Corporate Communications and Investor Relations: And just a reminder that the recording of the call will be posted on our website, erieinsurance.com, after 12:30 PM Eastern Time today. If you have any questions at all, as always, please call me at 814-870-4665. Thanks again and make it a great day.
Operator: That does conclude our conference for today. We appreciate your attendance and please have a wonderful day.